Theodor Daniel: Good morning. Thank you, operator, and thank you all for joining us. Titanium continued to navigate a challenging freight market with discipline and focus for the period ending September 30, 2025. Despite persistent softness across the transportation sector, driven by trade tensions, geopolitical volatility and weaker consumer confidence, our third quarter performance underscores the momentum building across the business. Both our Truck Transportation and Logistics segments delivered positive operating income for the second consecutive quarter. This reflects the impact of the strategic actions we've taken over the past several quarters. On a consolidated basis, we generated $115.7 million of revenue and $8.9 million of EBITDA, supported by continued strength in our U.S. logistics platform and improved operating performance in Truck Transportation. In both segments, we remain disciplined on pricing, customer and industry mix, along with focus on cost efficiency. All of these are key elements of our approach during this prolonged period of market softness. Our Logistics segment, despite considerable headwinds, continued to perform well. Revenue increased 3.3% year-over-year to $62.9 million, driven primarily by continued organic volume growth of 19% across both our Canadian and U.S. brokerage operations. We did see some pricing pressure in transactional freight toward the latter part of the quarter, which tempered the full impact of the volume growth. Even so, underlying demand trends remained stable and our asset-light model continues to demonstrate its scalability and resilience. Our operational and sales teams are working hard to maintain market share and functional margins. During the quarter, we also formally opened our Dallas and Virginia Beach offices. Turning to Truck Transportation. Revenue came in at $53.8 million, down year-over-year as expected, given our deliberate exit from unprofitable lanes last year. EBITDA was $7.7 million with an EBITDA margin of 16.1%. This is now our most efficient trucking quarter in nearly 2 years, and it reflects the benefit of our efforts to streamline capacity and focus on sustainable freight. On the capital allocation front, we remain focused on building financial flexibility, we generated $9.5 million in operating cash flow, up from $7 million last year and ended the quarter with $20.7 million in cash. Importantly, we repaid $8.9 million in debt in the quarter, continuing our deleveraging priority. Our substantially modern fleet requires no rolling stock expenditures over the next year. This will result in below average CapEx for the next 12 months, allowing us to continue our debt reduction efforts. We're operating with discipline, staying focused on what we can control and positioning Titanium for the long term. And with that, I'll hand it over to our CFO, Alex, to walk through the financials in more detail. Alex, over to you.
Kit Chun: Thanks, Pat, and good morning, everyone. Titanium continued to demonstrate operational discipline and resilience in Q3 despite ongoing macro headwinds. I'll walk through the consolidated numbers first and then touch on the segment performance. On a consolidated basis, the company generated revenue of $115.7 million compared with $118.4 million in the same period last year. EBITDA was $8.9 million with an EBITDA margin of 8.7%. While margins were modestly compressed year-over-year, the underlying performance reflects continued progress in operational efficiency, customer mix optimization and disciplined pricing across both segments. Logistics continued to be a key growth engine for the company. Revenue in this segment increased 3.3% year-over-year to $62.9 million, supported by steady U.S. volume growth and continued customer engagement across our brokerage network. EBITDA for the segment was $2.3 million, with an EBITDA margin of 4.2%. Similar to last quarter, margins were affected by ongoing geopolitical uncertainty and supply side cost pressures. Despite this, underlying demand trends remain stable and our asset-light model continues to demonstrate scalability, particularly in the U.S. where newer offices are strengthening relationships and gaining traction. In Truck Transportation, revenue for the quarter was $53.8 million, down from $58.1 million last year, reflecting our strategic exit of unprofitable lanes in 2024. EBITDA for the segment was $7.7 million, representing a margin of 16.1%. This marks the segment's third consecutive quarter of sequential profitability improvement. Disciplined pricing and continued efficiency gain across the fleet supported another quarter of positive operating income. Operating cash flow remained strong at $9.5 million, up from $7 million last year, highlighting improved cash conversion and working capital management. Net income from continuing operations per share was $0.01, a year-over-year improvement from a loss of $0.01 per share in Q3 2024. From a capital allocation standpoint, we remain committed to strengthening the balance sheet. We ended the quarter with $20.7 million in cash and repaid $8.9 million in loans and finance lease during the quarter. These actions contribute to further improvements in our leverage position and reinforces our focus on debt repayment. Overall, our capital-light growth strategy, combined with prudent cost management and operational discipline continues to position Titanium to navigate this cycle effectively. We remain focused on protecting margins, enhancing liquidity and supporting long-term shareholder value. With that, I'll pass the call over back to Ted.
Theodor Daniel: Thank you, Alex. Overall, our performance this quarter reflects the strength of our operating model and the progress we've made in sharpening our disciplined execution across the business. While freight markets remain challenging and visibility continues to be limited, we are seeing early signs of stabilization in certain regions. As we continue to adapt to our current industry environment, we look forward to more productive market conditions. Titanium continues to operate with discipline, focusing on what we can control. The benefits of our refined operating model are becoming increasingly evident, reflected in positive operating income in both segments for the second consecutive quarter. Titanium continues to operate with a strong foundation and even more efficient cost structure and most importantly, a resilient platform. To conclude, I would like to reiterate that we remain confident in the fundamentals of the business and continue to be focused on operational execution, margin preservation and cash generation. We estimate revenue of $112 million to $117 million and EBITDA percent of 8.5% to 9.5% for the next quarter. As we look ahead, our priorities remain unchanged: protect margins, maintain balance sheet strength and continue executing with discipline across our network. We're not waiting for the market to recover. We are taking proactive steps to ensure that Titanium emerges stronger and better positioned for long-term sustainable growth. With that, I'll turn the call over back to the operator for questions.[ id="-1" name="Operator" /> And before we begin the question-and-answer session, I would like to remind everyone that certain statements made on this call today may be forward-looking. In that regard, please refer to the risk factors and cautionary provisions outlined in the press release issued by the company yesterday as well as the filings made by Titanium on SEDAR. [Operator Instructions] With that, our first question comes from the line of Gianluca Tucci with Haywood Securities.
Gianluca Tucci: So it sounds like with the market the way it is that you've had to do some rejigging of routes to adapt to this market. Any color there, I think, would be helpful, Ted. And secondly, like when you think about your asset-based fleet size as it is today, are you comfortable like with the size for this market, these market conditions? Or is there some work to be done there, too?
Theodor Daniel: I mean you've got really 2 questions, yes. The first one is kind of rebalancing the fleet given current market conditions. So I know Marilyn would like to answer that.
Marilyn Daniel: Yes. I mean we are seeing more domestic work. Cross-border has softened. But we're well positioned with our U.S. fleet and Canadian fleet to sort of balance out the 2 marketplaces between Canada and the U.S. So kind of just -- we work on our domestic U.S. and our domestic Canadian. So that kind of helps us sort of balance off the typical cross-border freight that we were experiencing for many years. So a bit of a change there for sure. And then in terms of the size of the fleet, we're fine for the moment. I don't know, Ted, if you want to add anything else to that?
Theodor Daniel: I think we're good. We have already rightsized to a certain degree last year, and we're managing what we have. So at this point in time, it's continue to just do the best we can and focus on profit. And just kind of go from there and see what happens in terms of the general North American economy over the next couple of quarters.
Gianluca Tucci: Okay. That's helpful color. And then just secondly, how are you thinking about asset-light expansion in the face of the current environment in the near term, at least like is the cadence of a couple of offices incrementally per year still the game plan? Or how are you thinking about the brokerage piece of the business in light of the current situation out here?
Theodor Daniel: So we believe that we're going to continue to grow in brokerage. It's going to be sure and steady at this point in time. Obviously, this is not an economy where I think people are -- it's not -- let's just say it's not a tailwinds economy. Certainly, I think in this industry, we're still experiencing headwinds. So we are going to -- we're definitely going to continue to focus on technology in the space, and we're going to continue to expand our existing offices and try and continue to gain market share. [ id="-1" name="Operator" /> And the next question comes from Michael Kypreos with Desjardins Securities.
Michael Kypreos: I know it's still early days, but as the budget only came out last week, but do you have any early signs of maybe changes with customers in the Canadian market when it comes to, let's say, customers diversifying away from players that are perceived to be driver in?
Marilyn Daniel: I can answer to that way too early for that kind of an effect to be known. Customers have talked about it over the years. It's not nothing completely new, but definitely a positive, positive for the industry, positive direction. The impact will be over time. We don't know all the details yet in terms of penalties, et cetera. We know it's a project and a source of attention for the government over the next 4 years with a good chunk of money allocated to it. How it all rolls out, the enforcement, the penalties and so on, I think we don't have any details on that yet, but it is definitely positive. From a customer perspective, they're going to have to see the effects of it first to have a real impact on the customer.
Michael Kypreos: All right. Appreciate it. And maybe just on the Logistics segment, maybe just any additional details you could provide in terms of the margin compression despite the volume growth, maybe start-up inefficiency costs of the new locations? Or what are your expectations in terms of the fourth quarter?
Theodor Daniel: I think it's just -- honestly, Mike, I think it's just pure pricing at this point in time. Again, it's still a market where you've got a lot of overcapacity. It is improving slowly but surely. Last year, everybody was hoping for the end of the freight recession, and it's just taken a lot longer. It is headed in the right direction, but I believe that a more balanced pricing environment is what's going to help with that. And again, the other thing is, of course, technology. We believe that there's more efficiency in the market from a technological perspective, which is something that we do invest in. We are very technologically focused from that perspective.
Marilyn Daniel: And from a margin compression, there were some announcements in the quarter that affected carrier relations with brokers during the quarter with immigration and language law enforcement that came up. So there was a lot of disruption for a little bit. I think it's coming down, but that was definitely a peak in the end of the -- towards the end of the quarter, definitely had an effect. [ id="-1" name="Operator" /> [Operator Instructions] And we do have a follow-up question coming from the line of Gianluca Tucci with Haywood Securities.
Gianluca Tucci: Perhaps a question for Alex. Just to confirm, it sounds like CapEx plans for '26 is pretty marginal at best at this point. Any color there, Alex, on the CapEx plans for next year?
Kit Chun: Yes, for sure. Thanks, Gianluca. The CapEx plan for the next year, so all the way to Q3 2026 is going to be minimal, as you say. For the entire year for 2026, we -- like we said in the previous call, there will be some replacements for the Oakwood fleet. So it may go to the tune of $5 million to $10 million. It really depends on the market at the time. We may not need all $10 million. So it's now trending to the lower side, to be honest. And that's where we're going to be at for 2026, and there's no replacement for the Canadian crude.
Gianluca Tucci: Okay. And then perhaps just one last follow-up for Ted. Ted, like when you size up the market today, are you continuing to see capacity exit the market? Or how is the supply side shaking out these days? Like is it still trending to being a smaller market? And is the pace that you're seeing of cuts on the capacity piece of things, like is it coming down aggressively or like modestly? How would you kind of stack up the lay the land right now in the transport market on the supply side?
Theodor Daniel: So there are definitely indicators. So you're right, Gianluca, there's definitely indicators that are saying, "Hey, you know what, we are shrinking capacity." But I believe that it isn't happening as fast as we would have liked it. It's been a very, very prolonged freight recession, and it is happening but very, very, very slowly. Pricing pressure, you still see it in the RFQs. It's still a very competitive market from a pricing perspective. So I don't believe that it's, call it, as an industry, it's out of the woods. But at this point in time, it's headed in the right direction.
Gianluca Tucci: Okay. Well, curious to greener days ahead, Ted.
Theodor Daniel: We're slowly but surely getting there. [ id="-1" name="Operator" /> And the next question comes from Robert Murphy with Raymond James.
Robert Murphy: So I just wanted to follow up kind of on the outlook here. You indicated some early signs of stabilization in certain regions. Just wondering if you could provide a bit more color here. Like are there certain end markets, geographies, in particular, where you're seeing this improvement, et cetera?
Theodor Daniel: A little bit of improvement in the -- kind of call it the Northeast and the Midwest. That is probably along the lines to some degree of the whole issue of illegal drivers. And it's an interesting because you wouldn't have expected that region, but that seems to have more of the impact on pricing. But again, it's more kind of a little bit of everything, right? It's the fact that we're going to address, hopefully, over the next couple of years. I don't know what the budget has, but the driver they're addressing language laws in the U.S. There's issues with making sure that you've got compliant drivers and so on. So it's -- I think it's kind of a culmination of a whole bunch of different components. Do you have anything to add to that?
Marilyn Daniel: No, I think you've covered it off. I mean it's -- certain regions that are happening, definitely in the U.S., you're starting to see a spark in certain areas, which is good. It's usually a good tail sign for us here in Canada. So it's -- there is some movement in the right direction. I think you will see carriers exit just at a pure exhaustion over this period. I think things will come together between regulations, costing, technology and all of those things to see sort of a better marketplace in the future. When is the question?
Theodor Daniel: That's the crystal ball right there.
Robert Murphy: Okay. Great. That's great color. And then just kind of shifting gears, I just had one follow-up here. Just on the trucking margin. Good to see some progression there sequentially the last couple of quarters. Just kind of looking into 4Q, and I know you guys provided the 4Q guide there, but just looking to 4Q and 2026, kind of how should we think of margins progressing on the trucking side?
Kit Chun: Thanks, Robert. So margin for the trucking side, barring any market improvement, we're definitely trying to improve it as we streamline -- like we said in previous calls and last year as well, we are looking to only take on business that has sustainable rates, and that has been our focus for operations this year, and we continue to go that way. That's why our operational efficiency has improved. How far can we go? It's difficult to say given the current market conditions, but we are looking to improve that. Our expectation is that we are going to bring that up to potentially the 17% mark and hopefully beyond that. [ id="-1" name="Operator" /> [Operator Instructions] I'm showing no further questions at this time. I would like to turn it back to Titanium's President and CEO, Ted Daniel, for closing remarks.
Theodor Daniel: Great. Thank you, operator, and thank you all for joining us. We appreciate your interest in our company. At this time, I'd also like to thank all of our team members, our staff for their hard work and dedication. I would also like to acknowledge and thank the hard work and dedication and attention to compliance and safety of all of our drivers. We look forward to providing an update on our progress and all of our priorities discussed today when we report our Q4 and full year 2025 results in March. If there are any further questions, please feel free to contact us. Thank you for joining us today on this call. [ id="-1" name="Operator" /> Thank you. And ladies and gentlemen, this now concludes today's conference call. Thank you all for joining. You may now disconnect.